Operator: Good day, and welcome to the Tilly's Fourth Quarter and Full Year 2023 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Mr. Gar Jackson. Please go ahead, sir.
Gar Jackson: Good afternoon, and welcome to the Tilly's fiscal 2023 fourth quarter earnings call. Michael Henry, Executive Vice President and Chief Financial Officer, will discuss the Company's business and operating results. Then he and Hezy Shaked, Executive Chairman and Interim CEO and President, will host a Q&A session. For a copy of Tilly's earnings press release, please visit the Investor Relations section of the Company's website at tillys.com. From the same section, shortly after the conclusion of the call, you will also be able to find a recorded replay of this call for the next 30 days. Certain forward-looking statements will be made during this call that reflect Tilly's judgment and analysis only as of today, March 14, 2024, and actual results may differ materially from current expectations based on various factors affecting Tilly's business. Accordingly, you should not place undue reliance on these forward-looking statements. For a more thorough discussion of the risks and uncertainties associated with these forward-looking statements, please see the disclaimer regarding forward-looking statements that is included in our fiscal '23 fourth quarter earnings release, which is furnished to the SEC today on Form 8-K as well as our other filings with the SEC referenced in that disclaimer. This call may also contain certain references to certain non-GAAP measures. Reconciliations of those measures to their most recent directly comparable corresponding GAAP measure can be found in our earnings release on our website. Today's call will be limited to one hour, and I will include a Q&A session after our prepared remarks. Now I'll turn the call over to Mike.
Michael Henry: Thanks, Gar. Good afternoon, everyone, and thank you for joining us today. It has been a tough couple of years since our record earnings in fiscal 2021 coming out of the pandemic. Our business has been challenged, while our young customer demographic has faced persistent inflationary pressures, record levels of credit card debt and a shift in consumer preferences for experiences over goods following the pandemic. We believe that these factors have had a significant impact on our business, and we are not alone in that within our industry. Yet there are clothing and lifestyle brand retailers who have performed relatively well over the last two years. We are challenging ourselves to improve despite the headwinds we are facing. We are revisiting everything about our business, looking for and evaluating any opportunity for potential improvement. We have work to do to get our business back on track in terms of regaining ground on sales per square foot productivity in stores and generating stronger product margins. We certainly see opportunities for improvement, and we are actively pursuing those opportunities. First and foremost, we are focused on driving sales increases at healthy product margins. This starts with providing compelling merchandise. Our merchant teams have put in a lot of work in recent months to adjust our assortments lean into strong brand relationships and seek new relationships. We expect to be introducing several new brands throughout the year, including during the first quarter, producing new brand collaborations and continuing to leverage the strength of our own proprietary brands, particularly Rescue, which is our number one selling brand overall by far. While we are off to a slow start to the first quarter, following a couple of atmospheric river storms that hit our home state of California, particularly hard, in the first 2 weeks of February, the year-over-year comp sales trend of our business has been improving moderately as the weeks have passed. There are pockets of products within each department that are working well for us. Our proprietary brands are performing meaningfully better overall than our third-party brands thus far in the first quarter, but we feel good about the content and quality of our spring assortment overall. We also believe better days are ahead as we transition into warmer weather, spring breaks and Easter. As a significant portion of our assortment is focused in warm weather categories such as shorts, swim and sandals to name just a few. Beyond product, we are refocusing our marketing efforts to tell better product stories that are aligned with our primary merchandising priorities. We are working on a new brand campaign that we expect to launch in advance of the back-to-school season that is aimed at building connectivity with our customers in new and different ways. For those of you who follow us closely, you may have noticed some recent changes in our approach to our social media channels and product placements in certain media outlets where we have not been present before. This is just the start of our efforts to reinvigorate our approach to marketing and meet our customers where they are. We'll bring back certain in-store events that were successful for us in pre-pandemic years to help drive store traffic and create direct engagement with our customers. We have other ideas in the planning phase that we are not yet prepared to discuss, but everything we are doing is aimed at opportunities to drive emotional connections between our customers and Tilly's. Turning to store real estate. We still intend on evaluating opportunities to grow our store count over time. We are purposefully taking a measured approach to new store openings in the short term, while we work toward improving our business performance, but we continue to believe that there are ample opportunities for strategic growth in our business over time. In fiscal 2024, we currently expect to open five new stores within existing markets, with two stores scheduled to open in the first quarter and one each during the remaining quarters. For existing stores, we have nearly 100 lease decisions to make this year. We intend to maintain strict discipline in making decisions that we believe will generate improved profitability over time. If we are unable to negotiate what we believe to be acceptable lease costs, we will close stores as necessary. At this time, we are aware of five planned store closures that we expect will take place during fiscal 2024. Three of those will occur during the first quarter and more possible as we work through our lease decisions. We do not expect to close a large number of stores at this time, but we will be very disciplined and conscientious in our decision-making on store renewals and kick out clauses in light of the current environment and our specific performance in each location. Beyond new stores, our primary capital expenditure priorities for fiscal 2024 include completing the upgrade of our warehouse management systems and investing in new markdown optimization and merchandise allocation tools to improve the efficiency of our inventory management, and ongoing IT infrastructure and cybersecurity investments to protect our business interest. Altogether, we currently expect our total capital expenditures for fiscal 2024 not to exceed $15 million but the spend we do have planned will be very purposely aimed at improving our performance over time. I will now turn to our fiscal 2023 fourth quarter operating results, which were shared in the press release earlier this afternoon. Overall, our results exceeded the updated outlook ranges that we provided in early January in connection with the Annual ICR conference. As a reminder, for comparison purposes, this year's fourth quarter included an extra week, making it a 14-week quarter compared to last year's 13-week quarter. Specifics of our fiscal 2023 fourth quarter operating results compared to last year's fourth quarter were as follows: Total net sales were $173 million, a decrease of 4.1%. The extra week in this year's fourth quarter accounted for $5.7 million in total net sales. Total comparable net sales, including both physical stores and e-commerce, decreased by 8.8% for the comparable 14-week period. Total net sales from physical stores decreased by 7% and represented 72.6% of our total net sales compared to 74.9% of total net sales last year. On a comparable 14-week basis, net sales from physical stores decreased by 11.8%. E-commerce net sales increased by 4.7%, largely due to the extra week and represented 27.4% of total net sales compared to 25.1% of total net sales last year. On a comparable 14-week basis, e-comm net sales increased by 0.3%. We ended the fiscal year with 248 total stores, a net decrease of one store compared to the end of fiscal 2022. Gross margin, including buying, distribution and occupancy expenses, was 27% of net sales compared to 29% of net sales last year. Product margins declined by 140 basis points compared to last year because of increased markdowns needed to manage inventory levels. Buying, distribution and occupancy costs deleveraged by 70 basis points collectively despite being $0.5 million below last year due to carrying these costs against lower net sales. Total SG&A expenses were $55.2 million or 31.9% of net sales compared to $53.8 million or 29.8% of net sales last year. The increase in SG&A was primarily due to the extra week in this year's fourth quarter, which added an estimated $2.6 million to SG&A. Operating loss was $8.5 million or 4.9% of net sales compared to $1.4 million or 0.8% of net sales last year as a result of the combination of factors just noted. As a result of recording a noncash deferred tax asset valuation allowance charge of $15.4 million, income tax expense was $13.6 million despite our pretax loss position compared to income tax benefit of $0.2 million or 61.7% of pretax loss last year. On a non-GAAP basis, excluding the impact of the valuation allowance, income tax benefit was $1.8 million or 25.8% of pretax loss as would more naturally be expected. Net loss, including the impact of the valuation allowance was $20.6 million or $0.69 per share compared to $0.1 million or breakeven on a per share basis last year. On a non-GAAP basis, excluding the impact of the valuation allowance, our net loss was better than we anticipated based on our revised outlook issued in connection with the Annual ICR Conference in early January at $5.2 million or $0.17 per share. Turning to our balance sheet. We ended the fiscal year with total cash and marketable securities of $95 million and no debt outstanding compared to $113 million and no debt last year. Total inventories at cost were up 2.6% per square foot at the end of fiscal 2023 ended February 3, 2024 compared to the end of fiscal 2022 ended January 28, 2023. On a comparable date basis, total inventories at February 3, 2024, were down 9.6% per square foot versus February 4, 2023 due to timing of product deliveries. Total capital expenditures for fiscal 2023 were $14 million compared to $15.1 million last year. Turning to the first quarter of fiscal 2024. Total comparable net sales through March 12 decreased by 13.4% relative to the comparable period of last year, although with some trend improvement as the weeks have progressed, as I noted earlier, and with healthier product margins than last year. Based on current and historical trends, we currently estimate that our total net sales for the first quarter will be in the range of approximately $109 million to $119 million translating to a comparable store net sales decrease in the range of approximately 14% to 7%, respectively, compared to last year. We expect our SG&A to be in the range of approximately $42 million to $43 million. Our pretax loss to be in the range of $17 million to $22 million. Our estimated loss per share is expected to be in the range of $0.42 to $0.54 for the first quarter with an estimated income tax rate of 27% and total shares outstanding of approximately $29.9 million. We currently expect to have 247 total stores at the end of the first quarter compared to 248 at the end of last year's first quarter. In closing, we've endured a lot in recent years. We recognize that we have work to do to improve our business, starting with driving sales and generating improved product margins, which we expect will take time in the current environment. That said, we have a highly dedicated hard-working team that is aiming to get us back on track. We look forward to sharing our progress with you as we go through fiscal 2024 and beyond. Operator, we'll now go to our Q&A session.
Operator: [Operator Instructions] And the first question will come from Marni Shapiro with Retail Tracker.
Marni Shapiro: I have a couple of quick questions, if you wouldn't mind, just about the upcoming year. It looks like you ended the year with pretty clean inventories. I think you noted that you're seeing some better margins already in the first quarter. Is there room for margin expansion throughout the year? And will you maintain the inventories down at this level? And then I have a couple of follow-ups as well.
Michael Henry: So on the margin, yes, there is room to improve them during the year. This is one of the initiatives we're working on right now. And as far as the inventory, this is something we're looking at very carefully as far as the mix that we have. and who we cater to. So this is part of what we're doing right now exploring everything, looking at everything we're doing, we'll have conclusions in the next 30 days.
Marni Shapiro: And then I wanted to dig in a little bit just on the marketing. I think you mentioned some changes in marketing. I'm curious what you're doing to increase a top of funnel consumer customer acquisition efforts. Are you -- what are your thoughts about -- are you working with TikTok? I know you have TikTok page, I don't see much activity on it. I guess I'm curious what the digital spend should look like in '24? If you could just dig in a little bit to that part of the story.
Michael Henry: So, we have a new head of marketing that just joined us a few months ago and really has taken a fresh approach to everything we're doing about marketing. And it is very much top of funnel organized at this stage, which is a little bit different than what we've been doing for a number of years. We're trying to increase our presence on TikTok, other social media channels. There's different media product placements that we've partnered with a PR agency to help spread the word out there about certain products that we're featuring. So just a fresh approach, we are working on a brand campaign. We're not going to go into a lot of details about it at this moment, but expect to have that launch before the back-to-school season, again, more of a top-of-funnel approach, to try and build connections, emotional connections with our customers. Really pleased with what we're seeing from the marketing team overall. As you know, Marni, I've been here almost nine years. And I want to say our approach to marketing, what the team is doing right now, is the best I think I've seen in my time here.
Marni Shapiro: That's amazing. And then if it's okay, if I could sneak in one more. Just on the product side, I'm curious, sales have been under pressure. Has that been equal across guys, girls, footwear, [indiscernible], I forget what you guys call it. And then I've noticed some of the new products that have come in for spring so far, especially on the junior side, it's starting to look different. It's starting to look fresh and a little bit right. So, are you starting to see the improvements? Are they coming through first on the junior side? If you could just dig into like where we were and where we are.
Michael Henry: Yes. So, on the junior side, there is definitely some traction on the new merchandise that came in. We're seeing some good results. What was your other question that you wanted to know?
Marni Shapiro: In the fourth quarter and just to date, has the pressure been equal across men's, women's and footwear?
Michael Henry: Yes. The pressure was from week to week, it changes. But overall, it's the same for all departments. It's more of a traffic story than department-specific.
Marni Shapiro: Okay. That makes sense. But you're seeing the early traction that you're seeing is coming from the junior side because it looks noticeably different from [indiscernible] being in the stores?
Michael Henry: Yes, it is different, and we are seeing in the junior side good results. Let's put it this way.
Operator: Next question will come from Matt Koranda with Roth MKM.
Matt Koranda: Yes, I guess I just wanted to cover the quarter-to-date comp that you provided, the minus 13%. And I guess, we're guiding to comps for the first quarter a bit ahead of that. So I assume we're assuming some pickup after the bad weather in February. Maybe one, just confirm that's the case and sort of where you see those the element of pickup coming from? And then any way to unpack the down 13 between traffic, conversion and ticket?
Michael Henry: Sure. You're absolutely right, Matt. Things started real rough in the first two weeks of February, particularly in California and with us having such a heavy penetration of stores in California, almost 100 of our total stores are in our home state here both Southern and Northern California were down 24% in the first week of February. That's tough for us to overcome. And the second week was not much better than that. So Cal still down more than 20%. And North Cal was high teens or bit -- that might have been reversed between those two. And then we started to see better performance in the back half of February, relative performance to get to just under minus 15% for the month of February. And then in the month of March, we've gotten into negative single digits. With California in particular, getting pretty darn close to flat through yesterday. And we've started to see intermittent positive days in California. So it's giving us some sense of hope that we are moving in the right direction and that we will see better results in the remainder of the quarter. We just haven't seen it long enough yet to be firmly 100% convinced of how far that improvement might take us. So that's why you see the range structured the way it is. Also with Easter being two weeks earlier this year, we do expect greater benefit in March than April. And we do anticipate that the early part of April could be pretty tough because of that shift in timing of Easter and usually the movement of spring breaks that come with that in attachment to the Easter holiday. So that's how we're thinking about the cadence of the quarter.
Matt Koranda: Okay. All right. That sounds fair. And then just in terms of the product margins, maybe I wanted to drill down on that a bit more. I guess they've been in decline for a couple of years. And I think largely, it seems like it's probably a product of the environment and more promotionality across a lot of competitors and peers. But what are the levers that we can understand that you have at your disposal to sort of improve product margins over this coming year other than just sort of waiting for a better demand environment?
Hezy Shaked: Well, it's pretty basic. We are renegotiating cost and lowering our costs quite a bit, believe it or not. And where applicable, we're increasing retail, which we didn't do for a long time, and we've been completely out of whack with the market. So that's the two reasons and ways we're going to change those margins.
Michael Henry: Yes. And Matt, I'd just add, last year, our product margins were at a company low. So it speaks to the nature of the opportunity that's there, if we can execute better as we go through the year. Obviously, we need to prove that over the course of all four quarters of the year to continue to move us back in the right direction. But we're reasonably satisfied with what we're seeing so far. There's a long way to go, but we are pretty pleased with the improvement that we've seen thus far.
Hezy Shaked: I will add one more thing is that margins are results of, as you know, cost, retail and level of inventory. So the level of inventory was very good throughout the years. It wasn't a prom of too many markdowns. The opportunity was we got our eyes off the ball a little bit in the two areas that I mentioned.
Matt Koranda: Okay. Great color, guys. I appreciate that. One other one, if I could sneak one in. Just -- on SG&A, I noticed the guide there for the first quarter looks just a touch down year-over-year. So I just wanted to see and maybe give you the chance to call out, elements of efficiency that you're generating in SG&A, where maybe we're getting a little bit of potential for leverage as you start to grow that top line, hopefully, eventually?
Michael Henry: Yes. The biggest thing in SG&A, as you know, is store payroll and related benefits. It's almost half of total SG&A, and our store operations teams and my financial planning teams work awful hard on that together, trying to be as sharp as we possibly can, week after week, store by store, planning what we expect realistic sales expectations to be and being as tight on the hours as we can. Those groups have just done a great job of being super sharp despite the conditions that we've been facing from top line. And there's just -- at some point, there's a floor, right? With the size of our stores, you can't go below two people coverage in a store and be safe for our employees and have good customer service. So there are limits to how far we can squeeze that -- but I'm really proud of the effort that those teams have put in. That's the biggest item in SG&A is store payroll. The rest of it is, I'll call it, reasonably fixed. There's some things that do move with sales like credit card processing fees and minor things like that, but it's really about store payroll being managed tightly for us to keep control over that SG&A line.
Operator: Your next question will come from Mitch Kummetz with Seaport Research.
Mitch Kummetz: Mike, can we -- just housekeeping to start with. Can you give us comp by month for the fourth quarter?
Michael Henry: Hold on just a moment. They were fairly consistent from month to month. November was down 8.5, December was down 9.5, January was down 7.2.
Mitch Kummetz: Okay. And on Q1, so you talked about California and some of the challenges there early in the quarter. I know there were some weather challenges in California last year. Can you remind us when were those issues?
Michael Henry: I don't have last year's specific dates in front of me. I can just tell you, as I mentioned earlier, obviously, with what we faced this year California was down 23%, 24% in the first week and was down between 17% and 22% between Northern and Southern California in the second week. So that started us in a meaningful hole when you think about 100 of our stores, 100 of our roughly 250 being in our home state. And then -- the last two weeks of February were a little bit better. And then as I mentioned so far in March, total company were down single digits with California getting very close to flat and showing signs of turning positive. So we're really hopeful that trend line can continue and actually see some growth in California at some point. We're hopeful.
Mitch Kummetz: I guess I was asking the question, just to try to help understand if maybe some of that improvement is that you're now lapping the bad weather from a year ago. Maybe it doesn't seem that way. And then maybe a couple of last things, through back-to-school and holiday last year, there's a lot of talk from a lot of retailers about consumers' shopping events and then kind of going dark in between. How do you see like the first half setting up from an event standpoint? I know you talked about maybe better weather can help drive some traffic. But do you really see there being any kind of must shopping advance between now and back-to-school?
Michael Henry: Well, the largest sales weeks of the quarter anticipated to be right around the Easter holiday, that's where most of the spring breaks are but the first quarter is the smallest quarter of the year from a revenue standpoint. So there isn't anything anywhere near approaching the back-to-school season for us or the holiday season, obviously. But we would expect to see a little bit of pull forward into March this year because of the earlier Easter and then it's likely that April will be tough in the early part of April because we're going up against a later Easter. Beyond that, you're just in the spring/summer season, kids get out of school. It will really be towards the back half of July, where back-to-school comes into play, that we should see some pull of sales into the second quarter because of the impact of the 53rd week at the end of fiscal '23, we do anticipate some revenue shift from Q3 into Q2 as a result of that timing shift because of the extra week in fiscal '23, to the tune of somewhere around $12 million was our estimate of shift between Q3 and Q2. So that would be something that's a little different than history. And because of that quirky once every six or seven years of that 53rd week, it can create some distortions between the quarters.
Mitch Kummetz: And then last question, just on the assortments, you guys mentioned that private label is performing better than third-party. Can you maybe elaborate on that? Or what are the reasons for that? Is that really just maybe a bit of a trade down just in terms of price points? Or -- and then you also talked about on the third-party assortment, maybe sort of pivoting on some brands. Can you talk about maybe -- I don't know if you want to give specifics on the brands, but kind of what's the thinking behind the need to kind of pivot a little bit on that third-party assortment. It's really two questions in one -- yes, go ahead.
Hezy Shaked: Let me answer this. A couple of things. First, we can't talk too much about the private label versus the third party at this stage because this is something that we're looking very carefully at analyzing it and taking action on it as we speak. As Mike mentioned, we're going to have some new brands coming in, some exciting stuff. But it's a little too early for us to give you more information than that. I hope that by the next call that we have, we'll be able to look at things and be more clear.
Operator: Our next question will come from Jeff Van Sinderen with B. Riley.
Richard Magnusen: Yes. This is Richard Magnusen, calling in for Jeff Van Sinderen. So one of my questions is as you go into the first quarter here, with respect to -- compared to the fourth quarter, what more are you seeing in the buying habits of consumers and their inclination towards promotional merchandise?
Michael Henry: I wouldn't say that we've seen a distortion towards promotional merchandise per se. We're actually pleasantly surprised at the improvement in product margins that we're seeing so far in the first quarter. So we're not seeing that our relative percentage of what we'll call reg price business versus clearance has shifted in some meaningful way that tells us there's a completely different consumer demand profile there. It's -- clearance has always been a pretty small overall percentage of our total business, and it remains so. So it hasn't jumped up in to a huge degree, if that's getting at your question.
Richard Magnusen: So I mean what you've seen is maybe a little difference in shift, but nothing really noticeable towards any promotional inclination, right?
Michael Henry: Not in terms of how it's impacting our business. Again, our product margins are above where they were at this time last year. So we're seeing stronger performance in our reg price business at this stage.
Richard Magnusen: And then what more can you tell us about any particular trends you're seeing for spring? And then what areas of inventory, if any, do you feel like you're really heavier light in with regards to your expectations for spring?
Michael Henry: The assortment is structured similar to what you would expect from us in the spring season. Swim, shorts, graphic tees, denim, are always key categories for us at this time of year. And we're set that way, if you go and view a store right now. You'll see we're very much set for warm weather spring, spring break type of product categories, and that's typical for us. The one thing that we did do a little better leading into this year that I've seen versus our past experience. We were a little more thoughtful about how we transitioned from winter to spring. We intentionally held on to certain long sweater and jacket options in certain markets as opposed to shifting so hard 100% to the spring assortment everywhere. That also helped us carry through some of the difficult parts of February. But other than that, there aren't any major categorical shifts in our assortment than what you've seen from us in the spring typically.
Operator: And this will conclude our question-and-answer session. I would like to turn the conference back over to Mr. Mike Henry for any closing remarks. Please go ahead.
Michael Henry: Thank you, Chad. Thank you all for joining us on our call today. We look forward to sharing our first quarter results with you in early June. Have a good evening.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.